Operator: Other financial information can be found in the investor relations section of Exelon Corporation's website. We would also like to remind you that today's presentation and the associated earnings release materials contain forward-looking statements which are subject to risks and uncertainties. You can find the cautionary statements on these risks on slide two of today's presentation or in our SEC filings. In addition, today's presentation includes references to adjusted operating earnings and other non-GAAP measures. Reconciliations between these measures and the nearest equivalent GAAP measures can be found in the appendix of our presentation and in our earnings release. It is now my pleasure to turn the call over to Calvin Butler, Exelon Corporation's President and CEO.
Calvin Butler: Thank you, Andrew, and good morning, everyone. We are pleased to have you with us for our fourth quarter earnings call, closing out another successful year for Exelon Corporation. We are entering our twenty-fifth year as a company since the historic merger of Commonwealth Edison and Philadelphia Electric Company in 2000. Fly Eagles Fly. The industry and the company have seen a tremendous amount of change during that time, not unlike the years over the century plus that shaped ComEd and PECO since their origins in 1881. But some threads indelibly run through that history, including most importantly, a commitment to excellence and service to our customers. That commitment inspired Samuel Insull in Chicago, whose vision made electricity more accessible to all customers. And it continues to inspire us today, which shows in the results we are reporting and where our focus will be in the years ahead. It was another year of excellent operating performance. All four of Exelon Utilities achieved top quartile for reliability, with three of our utilities ranking in the top five among our peer benchmark and all four utilities performing in the top eight.
Calvin Butler: It was also another year of excellent financial performance. We reported GAAP earnings for 2024 of $2.45 per share and adjusted operating earnings of $2.50 per share, making it our third straight year as a pure T&D company of meeting the midpoint or better of guidance. In fact, when you look back at the earnings path we laid out when announcing our separation, in our Q4 2021 earnings call, the midpoint of our 2024 guidance was $2.50. When you think of all the change Exelon Corporation has managed during that time, separating the company, generationally high inflation and interest rates, transitioning to the new ComEd rate structure, it is remarkable to think that we maintained our trajectory. That is who we are. A company that our customers, employees, policymakers, and investors count on to deliver. On the regulatory front, we successfully closed out a very busy year for rate cases. As we will discuss further, this puts us on very strong footing to serve our customers and focus on expanding ways to support the energy transformation in the years ahead. These include ensuring our jurisdiction can continue to participate in the exciting growth of artificial intelligence powered by data centers that can foster economic development. And as Jean will discuss, there are other significant potential transmission opportunities as well, such as the MISO Tranche 2.1 work that are not currently in our guidance but which will require an additional $10 billion to $15 billion of investment to serve our customers in the coming five to ten years. Those opportunities illustrate why our updated four-year plan continues to reflect the steady investment growth that you should expect from a company that serves more customers than any other in the US in some of the most critical regions for the economy. We now expect to invest $38 billion from 2025 to 2028 to support customer needs. No single project will be more than 3% of that plan. And of that $3.5 billion in capital growth, more than 80% is attributable to transmission. This type of investment ensures that our utilities remain a key engine of our jurisdictions' economies. Not only do our investments create good local jobs, estimated 70,000 plus, and not only do they ensure the spending stays local with more than $4 billion of our supplier spend sourced from our jurisdictions. Most importantly, it ensures reliability. Which when the economy increasingly counts on access to reliable resilient power can really multiply the power of our impact. The growth in our high-density load pipeline by over two and a half times in the last year is evidence of that. ComEd alone won fifteen major projects, bringing in an estimated $17 billion of projected capital investments from other companies and creating over 1,000 jobs in Northern Illinois. And with this development comes increased load and we are seeing 1% to 2% load growth over our four-year period. Allowing us to distribute the cost of the grid over more usage. To fund these investments in a disciplined manner, we are maintaining a balanced funding strategy. Financing the growth with 40% equity and building on a solid trajectory to sustaining and improving our credit metrics over the plan. This commitment to balance sheet strength is evidenced by an upgrade to Exelon Corporation's credit rating by S&P last week. With continued returns on equity in the 9% to 10% range, we expect annualized earnings growth of 5% to 7% through 2028 with the expectation of being at the midpoint or better of that range. For 2025, we are initiating operating earnings guidance of $2.64 to $2.74 per share. And we are increasing our dividend to $1.60 per share, keeping our payout ratio in line with the 60% we have communicated as part of our capital allocation policy. The top-line results make it clear 2024 was a successful year. In slide five, more extensively highlights all of the ways in which our execution set us up for continued service to our customers, communities, and stakeholders, checking all of the boxes that we laid out this time last year. For instance, we invested $7.5 billion of capital executing within 1% of our guidance even with substantial reductions at ComEd as we work to gain approval of our refiled. We are earning 9.1% return on equity despite a large portion of our rate base awaiting updated rate recovery and significant storm and weather headwinds. We executed on our financing plan and continued to see strong. This year, as you will hear more from Jean, our organization remained laser-focused on cost. Having identified dozens of initiatives that support $100 million of sustainable savings and many more that we continue to pursue with our dedicated team. It is a key contributor to our year-over-year growth in O&M of just half a percent. But beyond managing our costs, affordability remains a top priority into 2025, and our customers anchor our focus as we engage with policymakers. I will return to this topic in my closing remarks. I am so proud of all that our 20,000 employees were able to accomplish this year. And I thank them for their commitment no matter the circumstances. And that starts with job one, of safely keeping the lights on and the gas flowing. Which I will cover on the next slide. Now, as I mentioned, was another top decile year for ComEd and Pepco Holdings, from an outage frequency and outage duration perspective. And BGE and PECO also attained top quartile. This was no small feat. And particularly at ComEd, which faced an unprecedented set of storms in July that produced 43 tornadoes. More than that region sees in an entire year. While also receiving the Reliability One Award for outstanding performance in the Midwest. On the gas side, our hardworking employees at BGE, PECO, and Pepco Holdings also delivered top decile performance across the board for the entirety of 2024. The fourth year in a row that all three have achieved top decile. This sustained operational excellence is where our investments translate to real customer value. Importantly, our employees achieved these results with a strong focus on safety. Ending the year with top quartile performance on serious injury incident rate. Now any safety incident is one too many. So we continue to build out our observational tools and procedures to improve. Lastly, our customer satisfaction scores remain consistent with the levels seen throughout the third quarter with ComEd and PECO in the first quartile and BGE and Pepco Holdings in the second quartile. With the onset of our first colder than normal winter, in a number of years, at higher energy supply costs, we recognize that affordability remains a critical aspect of the customer experience. To further improve performance at BGE and Pepco Holdings, they are expanding efforts to enhance customer support in partnership with our communities. BGE and Pepco Holdings are waiving late payment fees in the winter months and suspending non-payment disconnects, extending the length of payment arrangements where needed. We are also continuing to focus on empowering our customers to access digital tools and strategies to conserve energy during high usage months. Now we took similar actions during the pandemic. Our customers can count on us to proactively take measures when needed to balance affordability while ensuring a safe, reliable, resilient grid is critical to our communities and our economy. We look forward to continuing to collaborate with our stakeholders to expand our solution set for customers. I will now turn the call to Jean to recap our 2024 financial performance and provide details on our updated long-term plan. Jean?
Jean: Thank you, Calvin, and good morning, everyone. I want to shout out our PECO employees and all Eagle fans as well, and I will just say go birds. But with that being said, today, I will cover our fourth quarter and full-year results, key regulatory developments, and updates to our financial disclosures, including 2025. Starting on Slide seven, as Calvin noted, we delivered strong financial results for the third year in a row, earning $2.45 per share on a GAAP basis and $2.50 per share on a non-GAAP basis. Results that are at the top end of our guidance range and result in 6% growth off the midpoint of our guidance range for 2023. For the quarter, Exelon Corporation earned $0.64 per share on a GAAP and non-GAAP basis. Year earnings benefited from ComEd's rehearing order we received in April. We also managed costs across the platform well, as we offset another year of mild winter weather and higher storm activity while ensuring we could accommodate a range of outcomes. Quarter-to-date and year-to-date drivers relative to the prior year can be found on appendix slides thirty-five and thirty-six.
Jean: Turning to our outlook for 2025 on slide eight. We are initiating operating earnings guidance of $2.64 to $2.74 per share. With new rates in effect across nearly all of our jurisdictions, furthering continued investment for our customers, 2025 earnings growth relative to the midpoint of our 2024 estimated guidance range is in line with previous disclosures. We look ahead to the first quarter, we expect the relative EPS contribution to full-year earnings to be higher than historical patterns, approximately 33% of the midpoint of our projected full-year earnings guidance range. This accounts for the cold starts of the year, new rates in effect, anticipated shaping of costs and ComEd revenue timing, and assumes normal weather and storm conditions for the balance of the quarter. Turning to slide nine, as Calvin mentioned, we successfully closed out a busy regulatory calendar in 2024. Reaching final resolution on key rate cases that provide supportive cost recovery for the next several years. Starting with Pepco, on November 26th, the DC Public Service Commission issued a final order on Pepco's climate-ready pathway DC multiyear plan. Providing for $123.4 million incremental revenue requirement and a 9.5% ROE through 2026. Advancing the shared interest in supporting the district's energy goals. As part of the order, the commission initiated a lessons learned process to evaluate the learnings from DC's experience with multiyear plans thus far and to formalize the adoption of regulations for alternative forms of rate making. We are looking forward to participating in the process, which your final work group report for the first phase is due by the end of 2025. Moving on to PECO, the Pennsylvania Public Utility Commission approved the joint petitions for settlement in PECO's electric and gas rate cases on December 12th. The approved settlements allow for a $354 million electric revenue requirement increase, excluding a one-time credit of $64 million in 2025, and a $78 million gas revenue requirement increase in 2025. Providing the funding necessary to further enhance reliability, enable cleaner energy options, and improve the level of service customers have come to expect. Last, on December 19th, the Illinois Commerce Commission approved ComEd's refiled grid plan and rate plan adjustments. Providing recovery for a level of investment that will allow us to serve customers safely and reliably while making progress on the goals of Cijia. Relative to 2023 rates in effect, the final order provides for an approximate revenue requirement increase of $1 billion from 2024 through 2027, inclusive of the increases that were approved in the December 2023 order. As a reminder, the construct allows for the recovery of prudently incurred investment expenses of up to 105% of the approved revenue requirement. Certain investment categories, such as storms and new business, recoverable independent of the 105% threshold. With these final orders, close to 90% of our rate base has established rate mechanisms in place through 2026 or 2027, allowing us to focus on plan execution and the strategic engagement necessary to support growing electrification needs and promote expansion of reliable generation in our states. There are currently two Pepco Holdings base rate cases open. Delmarva Power filed its gas distribution base rate case in the third quarter. Seeking to recover continued reliability investments, including pipeline integrity management, aging pipe upgrades, and upgrades to its LNG plant. With the expectation of implementing interim rates on April 20th subject to refund. Atlantic City Electric also filed its base distribution rate case on November 21st. Seeking recovery for grid improvement and modernization work supporting New Jersey's energy mass act. ACE has requested an increase of $108.9 million with the expectation of implementing interim rates on August 21st subject to refund. Finally, in Maryland, we continue to work to close out open reconciliations from our first BGE and Pepco Maryland multiyear plan. And we remain engaged in the lessons learned process for multiyear plans as we approach our next rate case filings in Maryland. For our final briefs in December, we continue to advocate for multiyear plans as the appropriate rate structure to direct the increasing investment needed to support a reliable twenty-first-century grid while offering specific options to address stakeholder feedback on ways to improve upon the first set of multiyear plans. Moving to Slide ten, we provide our updated utility CapEx and rate-based outlook through 2028. We plan to spend approximately $9.1 billion in 2025 and a total of $38 billion over the next four years. An increase of $3.5 billion from the prior four-year planning period which reflects greater investments to support our jurisdictions and updates to align with recently approved rate cases and jurisdictional priorities.
Jean: Of the overall increase, over 80% is attributable to incremental transmission capital. Such investment is driven by the structural trends that underpin the energy transformation in our jurisdiction and increased demand for high voltage investments to support high-density load growth, expanding and modernizing generation supply stack, and the reliability and resiliency needs of grid customers. Over $1 billion of that transmission increase is projected at ComEd where we see continued commitments from data centers and other high-density load customers and interest continues to grow in our other jurisdictions as well. Serving this new business will also require additional investment in the distribution network. The balance of the additional transmission relates to continued capacity expansion across our platform, including an additional year of investment in our two largest transmission projects. One, supporting the retirement of the Brandon Shores coal plant and the other, the Tri-County line, to address reliability needs due to load growth in the region. As a reminder, the Brandon Shores project is expected to go into service in 2028, while the Tri-County will go into service at various points in 2029 and 2030. As we continue to allocate relatively more spend to longer-dated transmission projects, our annualized rate base growth of 7.4% over the next four years remains fairly consistent plan over plan. With the projected addition of nearly $20 billion from 2024 to 2028.
Jean: As the next slide shows, we feel confident about our ability to meet economic and energy goals, which rely more than ever on a safe, secure, and resilient grid. As you will see on slide eleven, Exelon Corporation has an unmatched platform to meet the clear need for transmission investment. The proliferation of high-density load, increased. We serve more customers than anyone else, and we are one of the largest investors in transmission among our peers. With award-winning reliability, our utilities are uniquely positioned to capitalize on the transmission opportunities beyond our existing 11,000 miles today. Beyond the $12.6 billion transmission capital in our plan, we estimate $10 billion to $15 billion of transmission opportunity within our footprint in the next five to ten years. This includes over $1 billion of additional investment to support new high-density load which is in our pipeline but not yet in our guidance. Due to its earlier stages of design and planning or estimated online dates. This website also includes investments to address teams between PJM and other regions such as the work associated with MISO Tranche 2.1. Which we are optimistic will result in at least $1 billion of spend in our ComEd service territory through PJM's supplemental spending process. Our involvement in those projects also creates opportunity to be a part of the competitive processes for the $6 billion of work MISO estimates it will bid out. And we continue to see more of a need than ever for new generation particularly to ensure our states can meet their policy goals. Transmission interconnections are needed to deliver that power to customers. No matter where it is situated or how it is generated. In fact, achieving CJIS goals amid growing economic development in Illinois will likely require significant transmission investment. All of this work complements the continued need for reliability and resilience investment in our existing infrastructure to modernize aging lines, ensure better security, and harden critical infrastructure. In 2019, PJM found that two-thirds of the transmission system in its footprint were over forty years old, with one-third exceeding fifty years and some lower voltage transmission assets nearing ninety years. It is clear that there is no shortage of need to invest to serve our customers and communities well beyond our four-year plan. With some of the best-run utilities in the country, we are well-positioned to execute these opportunities while prioritizing reliability, resiliency, and affordability. Moving to slide twelve, our dedication to operational excellence encompasses a commitment to customer affordability, ensuring we deliver above value at the low average rate. Ability to deploy $38 billion of capital for the benefit of our customers over the next four years. This focus is saving our customers approximately five fifty standard inflation level over the last decade. And we feel confident we can continue to keep our expense growth similarly limited over a planning horizon with an institutionalized team and culture committed to delivering value even when our jurisdictions look to expand ways in which we can support them. As we have mentioned, we have taken advantage of our exclusive focus on energy delivery to standardize and streamline our organizational structure and operations. In 2024, this has resulted in approximately $100 million in executed sustainable savings initiatives with line of sight to many more opportunities to ensure we can keep raising the bar for the value we provide our customers. Operating as one Exelon Corporation has helped to identify unique and impactful opportunities. Like our cross-company project to identify best practices amongst our frontline distribution employees. This discipline further enhances the value of our investments. Which have improved reliability by 35% since 2016. Achieving some of the best reliability metrics in the industry while also maintaining bill metrics that are 19% to 21% below US averages makes it clear we are delivering above-average performance at below-average rates. Turning to slide thirteen, with $38 billion of projected capital spend driving 7.4% rate base growth, along with earning ROEs of 9% to 10%, we are projecting compounded annual earnings growth of 5% to 7% from our 2024 guidance midpoint of $2.45 per share. Maintaining our commitment to transparency, we have provided assumptions associated with our expected annual growth and earnings through 2028 on appendix slide eighteen. As you can see on the slide, after 2024, we expect to deliver each year within the 5% to 7% range. Keeping us on track to deliver at midpoint or better of our 5% to 7% annualized growth rate from 2025 to 2028.
Jean: We also continue to project an approximate 60% dividend payout of operating earnings with the dividend now projected to grow in the lower end of our long-term earnings target as we retain more of our capital to invest more efficiently for our customers. For 2025, we anticipate paying out a dividend of $1.60 per share representing 5.2% growth over last year. Finally, I will conclude with a review of our balance sheet and financing expectations on slide fourteen. Maintaining a strong balance sheet continues to be core to our strategy and we closed out another year with average credit metrics comfortably exceeding our downgrade thresholds of 12% at Moody's and S&P. We are pleased to receive an upgrade from S&P last week which takes Exelon Corporation's corporate credit rating up to triple B plus from triple B. We have updated our slides to reflect this improvement along with the revised downgrade threshold of 13% at S&P that is reflective of the higher credit rating. With most investment plans and recovery mechanisms established over the next two to three years, our balanced funding strategy in place we anticipate our metrics approaching 14% by the end of our forecast. Demonstrating our commitment to maintaining a strong balance sheet. As a reminder, we continue to advocate for language that incorporates repairs for calculating the corporate alternative minimum tax in the final treasury regulations. So our plan incorporates the assumption that the final regulations will not allow for repairs. Implemented in a way that mitigates the cash impact, we would expect an increase of approximately fifty basis points to our consolidated metrics on average over the plan. From a financing perspective, we expect the $38 billion capital plan to be supported by $20 billion of internally generated cash flow, $12 billion of debt at the utilities, and $3 billion of debt at the holding company, with the balance funded with a modest amount of equity. Specifically, we expect 40% of our incremental capital will be funded with equity, bringing our total equity needs to $2.8 billion over the four-year plan. Implying approximately $700 million of equity per year.
Jean: Our financial plan has also been designed to accommodate the use of other fixed concert securities that receive equity credit in place of senior debt at our holding company. In addition to other credit-supported internal levers, these instruments provide a more efficient means of building additional financial flexibility while ensuring we deliver at the midpoint or better of our 5% to 7% annualized earning growth rate range through 2028. I want to close by reiterating our confidence not only in the plan we have laid out but in the broader opportunity we have to deliver value for our customers and our shareholders. Not just now, but in the decades to come. Thank you. I will now turn the call back to Calvin for his closing remarks.
Calvin Butler: Thank you, Jean. I will review our focus areas in 2025 before stepping back and reminding you what makes Exelon Corporation unique. As a key partner in our jurisdictions, as an employer, and as an investment. As I mentioned when I started the call, this business has always been about our customers. It was when Rembrandt Peale lit the first gas lamp in the streets of Baltimore in 1816. Ultimately, incorporating what became BGE, our nation's first gas company. It was when Exelon Corporation was formed twenty-five years ago, creating the foundation for the network of wires and pipes that now delivers energy to more than 10.7 million customers today. So you can expect us to continue to focus on an equitable and balanced energy transition. For the first time in decades, we have an opportunity to serve a growing load base for which we have already seen our jurisdictions compete successfully. But the magnitude of load growth we are seeing requires us to think differently about our approach to energy supply. Over a period of limited load growth, competitive markets have been able to save customers billions of dollars annually while delivering adequate supply. However, it is clear as we face rapid and significant load growth we need enhanced solutions at PJM. And we also need other approaches complementary to PJM that meet those evolving customer needs as cost-effectively as possible. We have been actively working with stakeholders on solutions to the higher energy supply prices that they face. Slide twenty-one in the appendix outlines our positions and priorities as we work actively with policymakers at the federal, RTO, and state levels. Indeed, we are consulting with stakeholders on no less than forty-five bills across our jurisdictions that impact supply or demand-side solutions in some way. Regardless, it is clear that states are and should be proactively involved in supply solutions that complement the markets. Not to mention pursuing policies that enable more demand-side solutions. There is no single answer to meeting the levels of load growth that are anticipated. But instead, a variety of solutions across regulated and merchant participants is necessary. We are committed to working collaboratively to support policies that ensure energy security as quickly and cost-effectively as possible. And in the meantime, we remain highly focused on all of the other ways in which we support customer affordability, areas in which we have and will continue to excel. This includes continued vigilance on cost, with our size, scale, and culture keeping cost growth well below inflation. It includes ENERGY STAR award-winning efficiency programs which save customers an estimated $18 per month in 2024. Third, our robust efforts to connect distributed resources allowing customers an opportunity to generate their own power and save money from 4.2 gigawatts of generation. And finally, our innovative tools and processes to connect customers to low-income energy assistance, which totaled $500 million in 2024. These efforts only increased the value of our product. Which we are delivering at top quartile or better levels and which we can only achieve with an employee base that can count on us to engage them. In doing all of this right, develop them, and send them home safely. We will execute on our financial plan deploying $9.1 billion this year to support our customers that will earn a consolidated 9% to 10% operating return on equity from fair rate case outcomes that align with our stakeholders on how we invest customer dollars. Dollars which flow right back into their communities to drive increased economic opportunity. We expect to deliver on our operating earnings guidance of $2.64 to $2.74 per share as always with the goal of being the midpoint and better. And lastly, we will execute on the financing plan that we laid out. Allowing us to maintain a strong balance sheet and support the grid our customers expect and deserve. These priorities are aligned with the pillars of our value prop which we use as our north stars to ensure that the entire Exelon Corporation organization is working together to create value for customers, employees, and shareholders. You can see we already lead the industry in so many ways across these areas, whether it is the number of customers served, the award-winning and innovative service we provide them, or the consistent top quartile reliability. Or the innumerable recognitions we receive as an employer of choice.
Calvin Butler: And we are a company that does what it says. Consistently delivering against our financial commitments in a manner that reflects strong alignment between our customers, policymakers, and shareholders on the value created by our investments. With these investments delivering 5% to 7% annualized growth, and a dividend yield of around 4%, we offer an extremely attractive risk-adjusted return of 9% to 11% which translates to consistent growth long-term value. Michelle, we can now open it up for questions.
Operator: Thank you. If you would like to ask a question, please press star one one on your telephone keypad. And our first question comes from Durgesh Chopra with Evercore. Your line is open.
Durgesh Chopra: Good morning, guys. Hello. Good morning.
Calvin Butler: Good morning, Calvin. Ginkgo Burks. Goldberg.
Durgesh Chopra: Hey. Listen. So just I had a couple of questions.
Durgesh Chopra: First, just in Maryland, a little bit more color there. So what are you expecting out of the reconciliation decision? How is that going to impact your future rate case filings? And then implications to your financial plan. We are getting a lot of questions around that. So maybe just a little bit more color as to how you are thinking about.
Calvin Butler: Yeah. Absolutely, Trish. Let me first take it, and then I will also offer it up to Mike or Jean if they have any color to add. Let me be very clear that we believe the process is moving forward at a decent pace. What has been very evident is that we have shared with the commission and all stakeholders that we do believe that the costs that were incurred were prudent. And we are provided evidence and supporting that effort. And if you even look at what others have come forward and saying, I do not think there is anyone questioning those costs of what has been incurred. Now we are just moving forward in the process and the evidence being done and letting it play out, but it has been a very collaborative process to date. Mike, anything to add there?
Mike Innocenzo: Then we I would just say that we firmly believe that we have offered a structure that gives predictability to customers, helps us lower costs for customers, and gives a good solid financial return for our shareholders as well.
Jean: Yeah. And I will just add, I guess, you know, on the reconciliation the procedural schedule takes us, you know, probably first half of this year. So in the first quarter or second quarter, we expect an outcome there. As Calvin mentioned, Yep. All prudent, reasonable cost. You know, when we have first initial rounds of testimony, proposals from staff and others were in line with prior reconciliations. And much of that reconciliation was actual structural issues, things that we saw in the first two reconciliations. So continue to move that forward. And then on the lessons learned, I think just reiterating what Mike and Calvin said, but also, you know, the multiyear plans, what we highlighted from our perspective is that you know, multiyear plans have provided you know, strong alignment with state policy and alignment of what we are investing while also keeping our distribution rates in the first quartile. So it has been a good mechanism in terms of delivering, but also keeping the distribution rates competitive. And multiyear plans are not unique to Maryland. Two-thirds of jurisdictions use them or some similar type of sharing mechanism. We like the three-year time frame, but are flexible on that. And I think there is a lot to be said about historic Tish years, you know, honestly creating more work and being less effective on the cost control. And that is the piece that I think is so important right now. If you think about affordability, if you think about delivering value for the cost customers, when you have a forward-looking plan, the ability to lock in long-term contracts. The ability to align your workforce, the ability to plan ahead, is what allows a company like Exelon Corporation to deliver that O&M growth rate of two to two and a half percent in a period of rising inflation. So we think these types of mechanisms provide a lot of benefits, which is what we continue to highlight in that lesson learned. We also expect the lessons learned to be completed in the first half of this year, and then we would, you know, kind of have that clarity moving forward for our next rate.
Durgesh Chopra: That is very helpful. We will look for those data points in the first half. Thank you. Then just switching gears, a lot of focus also on the two zero five with FERC. Are there any discussions with maybe just update us when your what your latest costs are with stakeholders and what to expect as, you know, the twenty-fourth, the February twenty-fourth data soon approaching?
Calvin Butler: Absolutely. I have Colette Honorable, who is our chief legal officer. Here with us. Colette, if you would like to lean into that.
Colette Honorable: Thank you, and thank you for the question. As you may be aware, we are still awaiting a decision. And to your point, we continue to talk with a number of stakeholders, including PJM, to find forward-looking solutions that work well for our customers and for investors. We are awaiting a decision in the two zero five docket and we hope to get a good result. We have been a leader on these issues and bringing issues around resource adequacy and energy security to the forefront. We appreciate the leadership from our states, from our governors. We appreciate the way that PJM has been leaning in with a number of proposals and reforms. And if I might mention for your edification, we received a word from FERC of two approvals of reform efforts. One relating to shovel-ready projects that is in docket ER twenty-five seven twelve. Really making sure that objects that are shovel-ready are moving to the forefront. We were very supportive of that reform. And then in ER twenty-five seven seventy-eight, the surplus interconnection service docket, which really helps to ensure that it is easier to add more generation to existing sites for generators. That one was approved as well. So we are seeing FERC being helpful here. We are going to continue to lean in and lead and we are hopeful about a positive result in the two zero five and are also at the same time continuing to work to engage with stakeholders. These customers are presenting us. If you heard from Calvin and Jean, with unprecedented load growth needs, and that creates unprecedented opportunity. So we will continue to work with all involved in a way that meets the needs of our customers, focuses on energy security and affordability while protecting the interest of investors.
Durgesh Chopra: Got it. Thank you, though. Great. Thank you. Yep. Thanks so much. Appreciate the time.
Calvin Butler: Thank you.
Operator: And our next question comes from Nicholas Campanella with Barclays. Your line is open.
Nicholas Campanella: Good morning. Thank you. Morning. Everyone is doing well. So hey, just one quick clarification. Slide eighteen, just when we think about the growth into twenty-seven, that just year over year of prior year twenty-six midpoint? Is that the way to think about that? You could comment on that? Yep. Yeah. That is the way to think about it.
Jean: We just we try to give you kind of the year over year. We always go back to the midpoint of guidance. So if you are thinking about this slide in totality, right, this is really about how do you grow, how does that fund grow from 2024 midpoint of $2.45 through 2028 on a year-by-year basis such that we get to that midpoint or better of the 5% to 7% over that four-year period.
Nicholas Campanella: Thank you very much. And then I know legislation has been kind of a priority in Maryland from stakeholders, and I was wondering if you can kind of comment on what you would kind of expect there, but also just your expectations in Pennsylvania as it relates to, you know, solving for, you know, a generation and rate-based solution or some type of other capacity arrangement with the state that could alleviate the congestion there. Thank you.
Calvin Butler: Yeah. No problem, Nick. I will start off, and then I with me Karim Kusami, who is the CEO of BGE. And, of course, we have Dave Velasquez with us as well who is the CEO of PECO that can add on. But let me just share with you, as I said in my opening statement, we have over forty-five bills that we are actively working across all of our jurisdictions. All with the focus on ensuring affordability energy security, and adequate generation. I mean, that is resource adequacy in those lines. Is first and foremost. Having said that, several pieces of legislation propose changes to regulatory and planning process including implementing distributed distribution planning, expedited review of certain clean energy generation, and creating a new integrated resource planning office. And by our footprint, we are looking at best practices that are being suggested in one jurisdiction, and how do we employ that or share that information with our other jurisdictions. So I am going to stop there and let Kareem talk about what is happening in Maryland, where I think there are over twenty bills to date that you are tracking.
Karim Kusami: There it is, Calvin, and thank you, and good morning, everyone. I would just echo what Calvin said. Right now, Indianapolis here in Maryland, there is a lot of attention being made on how do we deal with the resource adequacy issue energy security issue here in Maryland. As a reminder, Maryland currently imports about forty percent of its power from out of state. That is something that the legislation, the governor, and many others are very focused on trying to see what we can do to incent generation to be built in-state. The approach that is being taken is more of an all-of-the-above approach. They are looking at various different fuel types, various different ways to incent, to try to get generation built here in the next few years, that we can increase the amount of in-state capacity. As BGE and Pepco Holdings, we are very involved in all those discussions. We are very supportive. We agree with the state that we need to build more in-state generation to relieve some of the pressures that we have from on the supply side of the bill. So, again, that is something that we are looking at tracking closely and working closely with all stakeholders. And if you also asked about Pennsylvania, I know there are two active bills currently addressing the resource adequacy. Issue. And Dave Velasquez, you want to share your thoughts?
Dave Velasquez: Yes. This is Dave. Good morning, everybody. PA at like other states like Maryland, has been very active. You have seen that PUC sell technical conferences on this issue. As you know, Governor Shapiro has been very active in working with PJM to address this issue and all the companies. In Pennsylvania as well have been active in trying to work with all the stakeholders to come up with I will say, alternatives if necessary to the PJM capacity markets to ensure that you know, we continue to have adequate generation. And you know, some of the things that have been mentioned do include longer-term contracts, they include utility build. Some of those things will require legislation. And I think it will be an active session legislatively around those issues as well as both in the house and senate, lawmakers are concerned about some of the same issues.
Nicholas Campanella: Got it. Okay. More to come there. Really appreciate it. Thank you.
Calvin Butler: No problem, Nick. Thank you. Thanks.
Operator: And our next question comes from Julien Dumoulin-Smith with Jefferies. Your line is open.
Julien Dumoulin-Smith: Hey. Good morning, team. Good catch. I appreciate it. Hey.
Calvin Butler: Appreciate it. Go birds there. Just coming back a couple of different things here real quickly. Absolutely. Hey. Just with respect to the I know your guest trying to get at this a second ago about the prospects, but just to say it explicitly, how do you think about settlement abilities here? I mean, I know there are a few different dockets few different, efforts afoot with respect to teaching policy and colocation. Is there an ability to settle that out and kind of sidestep maybe a more protracted effort considering that that, you know, there is all this discussion about the time of the hour? And then related to I will sort it in the same time tied to data centers. How do you think about these deposits here in as much as that seems like a wider industry trend and certainly as an offset to rate base growth and certainly could accelerate through the course of this year. So is there any kind of heuristic you would offer as you could see some developments on data centers and how much that could.
Calvin Butler: Thank you, Julian. Let me make sure I captured the essence of the two-part question. One was talking about settlements as it relates to activity that may be going on at for the FERC level and so forth. And the second was really focusing in on deposits that customers are giving around data center growth and if can that spur additional development and growth moving forward. On the first piece, let me just share, and then I am going to turn this to Jean, is that we always are looking out for the best interest of our customers and having active discussions with all parties involved. We are never going to believe that we always are sitting back and cannot come to some type of resolution. And keep moving it forward. But we have some tenants that we are holding on to because it is around affordability for our customers and that the grid is being shared by everyone, so everyone should bear some of those. So having said that, I am going to turn it to Jean to give you any additional insight.
Jean: Yeah. I think on the first one, Julian, I was just you know, like, you the word settlement is used, but I think of it more as, like, do we partner with stakeholders? Absolutely. So all you know, the two o fives were about seeking clarity in a point where there were differing views on network load and other things. And so getting those two o fives was about getting clarity while this concept is discussed. Right? And so do we want to work with stakeholders in thinking about what is the right tariff, whether it is the state or federal level. Sure. But the two o fives are around seeking clarity and getting certainty. So that if someone was looking for certainty today, that is the fastest path. Right? While that is being discussed at PJM or with our states as it relates to large load. And then on the deposits, yeah, we are seeing meaningful deposits come in as we see meaningful load growth. You look at ComEd, for example, in our drivers tables, you can see large our large consumer or our C and I class growing 4% of weather normal year over year. It is real. Right? And so as that load comes into the service territory, driving up capital investment, but also we get those deposits to protect our other customers, to make sure that the load shows up. When you look at twenty-four rate bases to give you a sort of size of impact, our 2024 rate base was around $400 million lower, so relative to our last disclosure. The large majority of that was deposits. And so to your point, it does reduce rate base, but that but it is all a good thing. Right? It is good for our customers that we are protecting them with the deposit, and it is a signal that there is more investment that we need to do to accommodate this new load which is really exciting. Right? We also added a disclosure in the back that shows our historical load while growth was growing our net load was declining due to energy efficiency and solar, you know, things and investments. Now you look forward, our gross end net load is growing somewhere between 1% to 2%. So exciting development in terms of economic development, but the deposits, that is how they show up and that is kind of the order of magnitude we saw in twenty-four as an example.
Calvin Butler: And, Julian, if I can add something to Jean, we shared with you on our last call that we do not even put anything into our LRPRR forecast. Until certain actions are taken by these developers. One, we look at the purchase of real estate. Two, we look at, hey, are you putting in in the game in terms of developing plans? Or three, putting down a deposit. And then and only then do you see us actively start integrating this into our plan. And that is why you see the load growth that we have projected to you, that we have shown on the slides really adding up, because once they put those take some action actionable steps, we then include it into our plan.
Julien Dumoulin-Smith: Right. They basically said, for as much as you might see an acceleration in these deposits over the course of this year as some of this load materializes. You may very well see a corresponding increase or even net increase through the forward forecast period. As that loan, but this is it is subsequently incorporated in your forecast. So no net decline here. You are actually including the future CapEx opportunity in parallel with those deposits. So you should not necessarily see this being any kind of reduction to the course here. You have not gotten ahead of yourself in including that load. It will happen in parallel. Mhmm. Okay. Excellent.
Jean: Awesome. And does it speak to any greater confidence of these data points that you are again, I know that there have not been any kind of flashy, you know, data center press release, shall we say. But these deposits presumably bode well and favorably for ongoing activities here. Should we expect any kind of more explicit disclosures as we go work our way through the course of this year, especially given some of these, as you say, fruitful deposits here.
Jean: Yeah. We do have one side where we try to put, you know, kind of our recent wins. So at slide nineteen, in the appendix where you can see some of the recently announced data center projects. That, you know, typically the operating company or the company does do a press release on. But we tried to give you some insight here. You can see we have over two hundred online data centers today. I talked about ComEd year-over-year growth. But if you look at the chart on that slide and the top left, you can also see just in the last couple of years, we have had a 24% CAGR over the last couple of years in terms of megawatts online. So it is real in terms of the number of data centers online in our territories. Real when you look at the load year over year on a weather normal basis. And it is real when you look at the pipeline that we see growing and it is Calvin mentioned, it is a pipeline that we only talk about you know, ones that are what we would consult call greater than 80% probable because of the financial commitments that they have made. So it is an exciting time. I think it is we see this trend continuing. But I think, you know, we are going to be prudent about it and always focus on affordability and think about our other ten and a half million customers too, and that is where something like the deposits, you know, shows up and our activity at FERC as we think about just an equitable transition to this higher load growth as well.
Julien Dumoulin-Smith: Thank you guys very much. See you soon.
Operator: Thank you, sir. And our next question will come from Steve Fleishman with Wolfe. Your line is open.
Steve Fleishman: Hey, Steve. Yeah. Hey. Thanks. Hi. Good morning. So just maybe following up on that last topic a little bit. The I guess, specifically, this is a topic in the Illinois grid plan on large loads. Could you give us and I think they kind of pulled out the capital for that. But what you are expecting, can you give us maybe some info on what you have for the Illinois large loads in the capital plan? And then related, yes, go with that first here.
Jean: Oh, sure. Okay. So yeah. So on the group plan, all distribution, and what we had there about four hundred a little over four hundred million of capital that was not approved. But in the remarks on the grid plan, you know, they commented, right, that this can be fully reconcilable through the annual reconciliation should ComEd forecast be correct, which we believe it is. And so that is sort of the magnitude on the district distribution side. And then when you look at on the transmission side, ComEd was up about a billion dollars plan over plan on the transmission side relative, and it is really driven by this high dense load and the megawatts that we see coming online in the service territory.
Steve Fleishman: And is there a way to related to that, is there a way to take some of the data center gigawatt data that you are giving and tie it into some level of CapEx take a water. I know that is everything is different, but just is there some.
Jean: Yeah. It is in to your point because every project is different. Of course, we always try to do it in the most efficient way. So we work with our customers to say, how much do you need? Where do we have capacity? And so there could be very minimal investment need as we work to sort of find those sweet spots for our customers when we think about our entire customer base. And then, you know, there are others that depending on their ramp and how much they need and where they want to be located. There could be, you know, capital investment needed. So hard to do a rule of thumb. I would say, again, that is why we kind of always point back to just the percentage of transmission as we think about the four-year plan and how that shows up. And, again, you know, three and a half billion for this four-year period, 80% of that is transmission. Really driven by these high-density load centers coming in and the economic development we are seeing across the territories.
Steve Fleishman: Okay. One last question. Just the new FERC chair Christie was, I think, quoted last week saying you would have more clarity on their policy on the colocation in the near future. Do you think that will be in your two zero five case or what of the several cases is the likely forum to have clarity?
Calvin Butler: Yes, Steve. And to your point, I think clarity is the keyword there and what we are driving for and seeking. And Colette and her team are working regularly with her and others. So Colette, would you like to elaborate?
Colette Honorable: Thank you. Good morning, Steve. We too are interested in this clarity, so we are pleased to see the chairman now and, you know, a month plus in the role. Really focusing on this. Look, the great news is that we are all focused on this issue. We all recognize this time we are in, and we all want to be prepared to meet the demands of our customers and the needs of all of our customers as quickly as we can. So as we mentioned earlier, the decision on the two zero five could be anytime, but by February twenty-fourth, so it could be as soon as that. And there could be some decision on any of the other pending documents. We are looking forward to getting the clarity, and more importantly, you can count on us to continue engaging. This is an exciting time. And we look forward to supporting our customers, all of them, today and in the future.
Steve Fleishman: Great. Thank you very much.
Calvin Butler: Thank you, Steve.
Operator: And our last question will come from Shar Pourreza with Guggenheim Partners. Your line is open.
Shar Pourreza: Hey, guys. Good morning. Morning, Calvin. Just look like I am hey, Jean. Just real quick. I know there is a lot going on this morning, but just a question on CMC and the status of it. Is there any sort of progress of conversations with IPA and other stakeholders on manage that roll-off? Anything we should be watching, I guess, in the coming months from the public side that could indicate progress, legislative solution, as the governor involved, etcetera. Thanks. Team, please. Yeah. I think, you know, Illinois is just like all of our other.
Jean: States. Right? As they think about energy security, you know, the CMCs are a unique thing for sure. Right? And they go through twenty-seven, which has actually quite nice when you think about the next capacity auction being coming in prior to that. But, you know, the CMCs are not a perfect hedge either. Right? They are more so on the energy side and less on the capacity. So our customers in ComEd are already seeing some of that capacity increase. During this time period. But I guess, you know, from our perspective, perspective, we look at it no different than any of our states and how we are leaning into the energy legislation to provide solutions. You know, Illinois is unique in that they have the IPA, and so they will do their thing, and they will think about how they want to procure. But we will be there to, you know, help support from a customer lens perspective and do all, you know, everything we can to ensure that you know, what we are looking for, what our customers need is definitely, you know, the reliable generation but stable and predictable energy and capacity prices that allow them, you know, to run their businesses and meet their homes and family needs. So I guess we just you know, Illinois is no different than the other states that we are working with. We have got to find solutions at PJM on the capacity market. Colette talked about that. We are very supportive of some of the solutions that they provided and pleased to see that FERC has already approved a couple of them. But we are also supporting our states, Illinois included, that are looking at a variety of options. It could be you know, looking at capacity obligation for a large load. It could be looking at state for procurement. It could be looking at you know, state integrated resource plans. So a lot of options on the table. But what we are most pleased about is those options are being considered and states are moving with a sense of urgency. And so Illinois, no different than the other states focused on this.
Shar Pourreza: Got it. And then just lastly, guys, thanks for fitting me in. We have not had an update on artificial island discussions with PSEG or CEG. Have you done any work on bill impact if artificial island went behind the meter for Atlantic City Electric customers? And if it is a side of the meter deal or a quasi front of the meter deal, how should we think about how quickly a DC can connect to that system? Thanks.
Jean: Yeah. I was we have not, you know, think in our two o fives, we had some examples of what the impact could be in terms of a cost allocation, and so I would just point to that. But at the end of the day, I will just reiterate we are not against per location. We are what we have always said is that the principles are we believe it is network load and that the right cost allocation should be in place. So not against it. It is not something that you know, as long as it is network load and we have the right cost allocation, you know, we are bringing, you know, some economic development to our service territory is always something we are supportive of.
Shar Pourreza: Got it. So I guess, Gina, the question is can you connect the DC pretty quickly on the Atlantic City Electric system. Is there any speed to market issues? Is there capacity there? Or do they have to sit on a long interconnection queue? Thanks. Like yeah. I mean, I would say I mean, it is specifically, it really depends upon what they are able to locate there. I think for all of our for all of our connections, wherever we are talking, whether it is artificial island or any with our system, we certainly look for where there is capacity look for the ramp up. We look to make sure that we do our studies as accelerated as possible to make sure that we understand the impacts. I would say in most, I will say more in general, in almost all of our discussions with our different customers that are coming to look to update decision we are almost always able to find a way that meets their time needs. Again, a lot of it gets into how much load, how quickly would they want to ramp up. And finding ways to work creatively with them and accommodate that.
Shar Pourreza: Fantastic. Thank you guys so much. Congrats, Calvin and Jean, on the results. Very good results.
Jean: Thank you, sir.
Operator: At this time, I would now like to turn the call back to Calvin Butler for closing remarks.
Calvin Butler: Thank you all again for your steady support of Exelon Corporation. I think Sharon captioned it when he congratulated Gina and I. Let me just congratulate the twenty thousand plus Exelon Corporation employees. Because of all the hard work you put in. 2024 was a successful year. We are very excited about the year ahead, which brings unprecedented opportunity for us to continue to lead this energy transformation with our jurisdictions and continue to provide long-term value for all stakeholders. We look forward to engaging with you in the months ahead. And, Michelle, that concludes our call.
Operator: Thanks to all of our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.